Operator: Welcome to AMO's Third Quarter 2007 Earnings Conference Call. For a copy of the press release issued this morning call 714-247-8455 or visit www.amo-inc.com. This call is being recorded and a replay will be available at approximately noon Eastern Time today through midnight November 1st. To access the replay, dial 800-642-1687 and enter passcode 19981733 or visit www.amo-inc.com. I am pleased to introduce Sheree Aronson, Corporate Vice President of Corporate Communications and Investor Relations. Please go ahead.
Sheree Aronson: Good morning. Joining me today are Jim Mazzo and Randy Meier who will make some prepared remarks, followed by Q&A. Also with us today is Michael Lambert who joined AMO last week as our new Chief Financial Officer. During the call, certain statements such as forecasts of financial information, guidance financial targets and goals, strategies for growth, expected product performance and growth in market procedure, projected regulatory approval and benefits and launch dates for new products, expectations for the multi-purpose re-launch and associated financial impacts and any other statements that refer to AMO's planned or estimated future results are forward-looking statements. As such they reflect our current analysis of existing trends and information and represent our judgment only as of the date of this call. Actual results may differ based on various factors affecting our businesses. Review today's press release and our SEC filings for more information about these risk factors; specifically, the discussion under the heading Risk Factors in our 2006 Form 10-K and second quarter 2007 10-Q. You'll find these and other documents in investors section at www.amo-inc.com or by calling 714-247-8455. Please note that the year ago sales comparison in the tables that accompany today's press release do not include any IntraLase and WaveFront Sciences related sales because we completed these acquisitions in 2007. Any reference we make to pro forma sales performance in the release or our comments today is intended to provide an apples-to-apples comparison and assumes that we had owned the InterLase and WaveFront Sciences businesses in the year ago period. Note also that our EPS guidance is provided on a non-GAAP basis, which excludes impacts of charges and write-offs related to acquisitions, reorganizations and recapitalization, unrealized gains and losses on derivative instruments and other one-time charges. Refer to the Investors section of our website under historical financials for more information on our views on non-GAAP measures. Let me also remind you that the American Academy of Ophthalmology meeting is November 9 through 12 in New Orleans. AMO will host a technology update for investors and analysts on Saturday November 10, featuring presentations by leading ophthalmic surgeons on AMO's newest technology. If you are planning to attend AAO please call us at 714-247-8455 to RSVP for the technology update. And now I'll pass the call to Jim.
James V. Mazzo: Thanks Sheree andgood morning everyone. During the third quarter AMO continued to execute our strategy to provide advanced refractive technologies for people of all ages, delivering a complete refractive solution to eye care practitioners worldwide. We are accomplishing this through well integrated acquisitions and consistent delivery of organic innovations. And our goal is to align our three businesses to ensure that we capture an increasingly larger share of the elective refractive procedure market. While our financial results were significantly impacted by the recall, I am very pleased with the progress we continue to make in our cataract and laser vision correction businesses during the period. The third quarter marked some key important achievements. First, we re-entered the multipurpose solution market. We succeeded in getting product back on retail shelves in the August-September timeframe ahead of our original schedule. In this month we began our sales efforts to practitioners. In the United States and you'll hear from this... later from Randy, we're already receiving reorders from retailers and registering market share gains, demonstrating that we have loyal Complete users returning to the product. Our proprietary product emphasizes the fundamental importance of rubbing and rinsing to overall contact lens safety and comfort. And as I said Randy will provide some additional details here on this market. Two, we capitalized on our market and technology leading laser vision correction opportunities. We hit new highs for procedure revenue in the quarter and also delivered strong unit placements for both the excimer and femtosecond lasers demonstrating the competitive power of our dual platform and setting the stage for future growth and high margin procedure revenue from around the globe. These strong unit placements are also fueling our share of total refractive procedures. In the U.S. the world's largest elective refractive market, nearly half of all elective refractive procedures including flap-creation, LASIK, PRK, CK and refractive eye lobes will perform using an AMO technology. This is about twice the share of our closest competitor. Three, we introduced new products into the cataract market, including our innovative Tecnis 1-Piece intraocular lens which enhances surgeons ease of use while delivering superior visual outcomes to patients. Launched in Europe last month, the Tecnis 1-Piece is slated for U.S. introduction next spring. It is expected to continue to drive the mix shift of our monofocal IOLs [ph] to the proprietary Tecnis design. During the quarter, we also began shipments of the new WhiteStar Signature phacoemulsification system to U.S. surgeons and introduced the technology to the European market. And fourth, we expanded and deepened our leadership ranks for the realignment of management responsibilities. I am pleased to welcome Michael Lambert to the AMO executive leadership team as our new CFO. He joined us last week and brings a wealth of public company experience to AMO. He will play a critical role in helping us achieve our financial and operational objectives. I am sure you're all eager to meet Michael and you will meet with him over the next several months. On today's Randy will give the recap of our financial performance for the quarter. In future quarters, after Mike has the opportunity to get up to speed on the businesses, his' responsibility will be his. With Michael's addition to the team Randy's responsibilities have shifted to include management of our cataract business and global customer service. He also maintains existing responsibilities for overseeing our eye care business and global operations. Doug Post continues to manage our laser vision correction business with added responsibility now for refractive IOLs on a global basis. This is consistent with our focus on helping practitioners grow refractive procedures with through our laser and intraocular lens offerings. Russ Trenary assumes the new role as the ahead of our global public policy and medical education. We've made significant investments to build the portfolio of advanced refractive technologies that is without peer in our industry. Among other things Russ will lead a focused global effort across all of our businesses to demonstrate and communicate the clinical support superiority of our products. Now let's move to some of the businesses. Our technological leadership in laser vision correction continues to drive that business for us. Practitioners select our technologies for the clinical outcome they provide. A recent selection of AMO LASIK technologies by NASA is a perfect and clear example. NASA's decision was based on its review of expensive military clinical data that showed superior safety in vision when using our CustomVue and IntraLase technologies in combination. When you consider the visual demands of an astronaut this approval is a compelling argument in support of the AMO LASIK offerings for the average person and a tremendous marketing tool for our practitioners. Clinical superiority drove strong laser vision correction sales in the quarter of $99.3 million, up 15.8% on a pro forma basis. Worldwide procedure and related sales rose 30.5% on a pro forma basis which we attribute to our continued above market procedure growth and a revenue mix shift to CustomVue procedures. For the trailing 12 months ending September 28 our U.S. excimer procedure volume was up 8.6% and our U.S. custom mix rose to 63.8%. Continued rapid U.S. surgeon adoption of the IntraLase FS laser also contributed significantly to our performance. For the training 12 months ending September 28 U.S. femtosecond procedures grew 35.8% on a pro forma basis. Clearly, we are gaining share in both the flab creation and excimer laser categories and our efforts to use our dual platforms to define a new standard of LASIK care are working and underway. As slide shows practitioners' preference for our technology is on the rise. According to the 2007 MarketScope annual refractive survey released last month, 71% of doctors said they would most likely purchase an IntraLase laser if they were in the market for a new keratome, up from just 36% one year ago. The same survey showed the continued shift to custom LASIK procedures with 62.5% of doctors considering WaveFront guided ablation as the best procedure for all patients, up from 49.6% one year ago. Again this year MarketScope showed our CustomVue was a procedure of choice with 62% of share of the U.S. excimer laser market. The shift to custom all-laser LASIK procedures is also growing outside the United States. Our international procedure revenue was $6.5 million for the excimer laser, up 74.9% from the year ago quarter and up 24% sequentially. Note that our sequential growth represents the largest jump in excimer procedure sales since we began our international expansion initiatives. This is significant considering that the third quarter is seasonally slow in most international markets. International femtosecond procedure revenue was $12.3 million, up 81.5% from IntraLase year ago quarter. In all, international procedure sales rose 79% on a pro forma basis demonstrating the benefit of leveraging our global infrastructure and custom all-laser LASIK technologies to build a robust international business. In the third quarter international procedures accounted for 30% of total procedure revenue, up from 22% on a pro forma basis in the third... in a year ago quarter. We estimate the custom procedures represent about 20% of the international LASIK market now, up from about 10% when we started this initiative. Consider also at the time of the VISX acquisition about 15% of our international excimer installed base was custom capable. By focusing doctors on the clinical superiority of our advanced CustomVue technology we boosted that to well over 50% today through upgrades and new unit placements. New unit placements are of course the forerunner to increase higher margin procedure revenue. Excimer replacements rose 2.7% and IntraLase femtosecond laser placements rose 36.7% versus the year ago period. This followed strong unit growth in the second quarter and continues to illustrate how quickly we've taken advantage of cross-selling opportunities between the two installed bases. Our placements were broadly distributed and resulted in total system sales of more than $27 million, up 2.3% on a pro forma basis versus the year ago period. At the time of the IntraLase acquisition, we estimated that about 20% of AMO's U.S. excimer customers were also IntraLase customers. As of the end of the third quarter the IntraLase overlap represented about 35% of the AMO excimer installed base. And this trend underscores two very important facts. One, the combined AMO and IntraLase offering is a powerful competitive advantage; and two, we still have significant room for growth. In addition to continuing to secure the leading share of the LASIK real estate in the U.S. and other high potential markets around the world, we are pursuing various avenues to grow this business. These include adding new indications, new products and initiatives to grow the market. For example, in the U.S., final launch on the Advanced CustomVue Monovision treatment which is intended for myopic presbyopes. In clinical trials 96% of CustomVue Monovision patients were 20, 25 or better at far and at near after 1 year, and 98% said that they would have the procedure again. This technology is the first ever LASIK procedure approved in the U.S. for the treatment of presbyopia. As such it will help surgeons using our technology attract an important demographic group, myopic baby boomers who are looking to shed their reading glasses. For AMO, we expect the launch of Advanced CustomVue Monovision to help drive our custom mix and overall procedure sales higher. Our WaveFront Sciences team is also developing a next generation aberrometer designed to have the highest resolution and reliability in the industry as well as other proprietary features to set it apart in the market. It is set to launch in 2008 and it is expected to enhance our Advanced CostumVue product offering and facilitate continued custom convergence. And to grow the overall LASIK market we will soon unveil a new consumer brand and marketing program to articulate the differentiating benefits of our custom all-laser LASIK procedure. This program which will be delivered through our surgeon customer base will be unveiled at the upcoming American Academy of Ophthalmology meeting in a couple weeks in New Orleans. Our success in integrating our laser vision correction businesses, VISX, IntraLase and WaveFront Sciences form a solid foundation for us to move forward on these and other efforts to grow the LASIK market and our share. Now turning to our cataract implant performance. Total sales were a $131.7 million, up 5.2%. Total IOL sales grew 6.5% driven by our proprietary Tecnis aspheric monofocal IOL and refractive implant portfolio. The monofocal IOL sales rose 7.6% with Tecnis monofocal sales up 60%. This was driven primarily by strong performance in the Americas and Europe. Tecnis is the core of our IOL offering and our goal has been to upgrade practitioners to the this platform. We've had good success thus far with Tecnis IOLs now representing 56% of our total monofocal IOL sales versus 38% just one year ago. As I said at the start of the call we are further strengthening this franchise with the Tecnis 1-Piece lens which we introduced last month in Europe, the world's second largest cataract market on a dollar basis. As noted on slide 11, the Tecnis 1-Piece lens is designed to deliver ease-of-implantation with outstanding visual performance. This new design provides all the same functional benefits and claims that doctors have relied upon with previous adorations. It also provides two design advancements that aren't available on competitors' one piece designs. And these include a 360 degree uninterrupted edge design to minimize cell migration on to the posterior capsule and are frosted edge to minimize glare, critical elements of choice on a 1-Piece lens. The Tecnis 1-Piece also has a reduced center of thickness making it easy to implant with bag-friendly coplanar delivery and gently unfolding haptics. We've just begun shipments of the Tecnis 1- Piece intraocular lenses to European surgeons, and I expect to introduce the product to U.S. surgeons next spring. As you probably know 1-Piece lenses are the primary type of lenses currently used in the United States. Having a differentiated intraocular lens in this category will help us further our strategy to upgrade existing customers to the Tecnis platform and grow our share of monofocal IOLs. Refractive implants were $12.8 million in the quarter, up slightly over the year ago period and representing growth in international markets offset by softer U.S. sales. We attribute our softer sales in the U.S. to more moderate market growth as the adoption rates slow. We believe this is generally consistent with the historical adoption rate profile that our industry has been seen with novel... recent novel technologies like foldable IOLs in the 80's and corneal refractive procedures in the 90's. We still believe strongly in this market segment as new technology such as the Tecnis Multifocal becomes available. We also see meaningful growth potential as more surgeons grasp how to effectively integrate presbyopic correcting IOLs into their practices and communicate with patients. Refractive IOLs are fundamental to our complete refractive solutions strategy. We remain bullish on their potential considering the asthma patient lifestyle benefits they deliver and how they compliment our LASIK offering and further advance our primary goal gaining the share of the total elective refractive procedures. Our approach is two-fold: offering surgeons around the world a range of refractive IOL options that deliver superior outcomes and targeting our efforts on comprehensive refractive procedures that have the marketing promise and service orientation to succeed in the elective procedure arena. For example, we launched in Europe last month the Tecnis(NYSE:R) Multifocal Acrylic intraocular lens. We expect this to further strengthen our custom match solution, which offers physician the option to use Tecnis Multifocal IOL bilateral diffractive intraocular lenses. ReZoom bilateral refractive IOLs or a combination of both. We also continue to work to rapidly bring Tecnis Multifocal to the U.S. We have completed additional patient enrolment in our clinical trail and are currently conducting follow-up with the expectation that we'll file the PMA early next year. We continue to target U.S. launch for the first half of 2009. Remember too that we've expanded global refractive IOL reach with the recent approval of ReZoom in Japan. We continue to work closely with comprehensive refractive practices to enhance patient awareness and education of presbyopic correcting IOL with initiatives like the Gary Player practice marketing program. We also continue to work with industry groups on a public policy front to encourage U.S. like patient-shared billing options in Europe and Japan to help drive adoption of these technologies. Turning to other core cataract technologies, sales of viscoelastics declined 2.2% in the quarter with Healon declining 1%. As we indicated previously one obstacle to our growth here is the lack of its dispersive product in the U.S. We had initially expected to launch Healon, the new dispersive in the U.S. later this year but have reset the launch date to sometime in 2008 timeframe due to longer than expected FDA approval process. Moving to phacoemulsification, we're extremely pleased with the third quarter performance which showed sales increases of 11.4% with 12.8% growth in pack sales and equipment sales over less 0.4. Primary drivers were increased uses of our existing installed base aiding our pact business and placements of our WhiteStar Signature system. This was launched consistent with our original timeline last April in the U.S. and last month in Europe. The new system combines the proven performance of our proprietary WhiteStar technology with the safety of revolutionary Fusion Fluidics to provide ultimate chamber stability. The system also provides the dual pump technology, wireless Bluetooth accessories, optional voice confirmation and other features that enhance easy-of-use and optimize patient outcomes. Moreover, we are working on a series of accessories and upgrades that we expect to roll out throughout 2008. With that, I'll pass the call to Randy for an update on the eye care business and the summary of our third quarter financials.
Richard A. Meier: Thank you, Jim and good morning everyone. As you all know we re-entered the multipurpose solution market in the third quarter when shipments to the U.S., Europe, Japan and parts of Asia-Pacific commenced in August and September. We've accomplished it in less than 90 days after initiating the recall and well head of our original timeframe. As slide 14 indicates product is now on store shelves at retailers representing about 95% of our U.S. customer base pre-recall, and our SKU distribution is very close to pre-recall levels as well. We've also already received reorders from key retailers including Wal-Mart, Target, Albertsons, Kmart, Kroger, Safeway as well as initiated sales of outreach and care kit shipments to U.S. eye care practitioners. In Europe, we have shipped product to all of our major customers and in Japan, we have regained distribution at all major retailers. Shipments to Asia Pacific are now underway, and we expect to be fully back in the market on a worldwide basis by year's end. Our new product, COMPLETE Easy Rub is a proprietary formulation that has been sold globally for number of years. There has been some speculation on Wall Street recently about our product's competitiveness. So let me address that head on. Our formulation provides powerful disinfection while promoting tear film stability and long lasting comfort. In addition, looking at slide 15 our COMPETE Easy Rub formulation outperforms competing solutions in an evaporation test. It clearly showed that it maintained its anti-microbial activity under real world condition such as topping off solutions that can compromise other solutions effectiveness. A recent study conducted by a non-profit Contact Lens Council found that 44% of contact lens wearers always or occasionally top off. Meaning they reuse their solution. For patients in this situation it is important that their solution maintains its effectiveness even after partial evaporation. It is also worth noting that COMPLETE Easy Rub performs better than our predecessor product on the Andrasko Corneal Staining Grid which I know is familiar to many of you. Although our COMPLETE Easy Rub formulation is cleared by the FDA with a no rub claim, we are actively promoting its use with a rub and rinse lens cleaning regimen. We took this approach after extensive research and discussions with global eye care practitioners who now overwhelmingly recommend a rub and rinse regimen to their patients. In fact, the same Contact Lens Council study, I mentioned earlier, researchers found that more than 90% of ECPs recommend rubbing contact lenses as a part of their lens cleaning regimen. However 40% of them feel that the main barrier to compliance is patients' belief that contact lens cleaning is unimportant. To address this, we are supporting the ECP with patient education tool, a public awareness campaign aimed at key contact lens wearing demographic of 18 to 34 year old and other steps like including a new lens case in every box of COMPLETE Easy Rub. These measures are designed to help ECPs get their message across the patients about the critical importance of proper lens disinfection and use. We believe firmly that contact lens solution sales are doctor driven. So aligning ourselves with the doctor is fundamental to our strategy. As I indicated during the last quarterly conference call, we expect our multipurpose sales to ramp through 2008 and for us to recapture the market share equivalent to the first quarter 2006 levels by the end of 2008. This assumes that we exit 2008 with a run rate market share heading into 2009 of about 16% to 18% of the global MPS market. Given the phased in restocking of COMPLETE product around the globe and the lagging nature of market share data it will probably be the end of the first quarter of 2008 before we have a good picture on how we are tracking against this target. Early reports are promising. According to IRI data which measures the shelf off-take we held a 4.9% share of the U.S. branded MPS market for the four weeks ended October 7. This is significant considering the distribution continues to build at retail shelves. Turning to eye care sales performance in the quarter, we recorded net sales of $42 million. Multipurpose sales were $13 million, and MPS sales were reduced by $6.3 million in returns and $32.2 million in estimated lost sales due to the recall. At $16.4 million, hydrogen peroxide sales declined 10.3% in the quarter consistent with recent trends. Moving forward, we expect a moderating of the decline of hydrogen peroxide sales given the powerful protection hydrogen peroxide provides against a broad range of microorganisms. In addition, we've received feedback from our advisory group that hydrogen peroxide is a strong alternative for patients who are non-complaint or have compromised corneas. We've just begun our sampling efforts with our Oxysept hydrogen peroxide offering which provides high levels of efficacy and comfort. Today we are fully focused on managing our reentry to the global multipurpose market. We also remain on track to launch our first over the counter dry eye product in the U.S. early next year. With our unique formulation we expect to compete aggressively in the $400 plus million dry eye market. Our product is targeted to treat mild to moderate dry eye whether used alone or in conjunction with pharmaceutical therapy and to optimize the corneal surface to promote the best refractive outcome. Moving to the consolidated financial results, we reported third quarter GAAP loss of $25.9 million or... excuse me $0.43 per share which included charge and adjustments that increased the net loss per share by $0.08. These included pre-tax acquisition related charges of $5.3 million, unrealized pre-tax loss on derivative instruments of $2.4 million and an estimated tax effect related to the items above totaling approximately $3.1 million. For the quarter we recorded total sales of $273.2 million, an increase of 5.6% compared to the same period last year as reduced eye care sales were offset by the IntraLase and WaveFront Sciences acquisitions. These factors also contributed to shift in our sales by geography which are highlighted on slide 19. Sales in the Americas rose 9% and equaled 47.6% of total consolidated sales. The Europe, Africa and Middle East sales rose 9.6% to represent 27.4% of sales. Japan sales represented 15.1% of sales, were relatively flat with the year ago quarter. Asia Pacific remained our smallest region with 10% of sales and declined 9.3% as laser vision correction advances were not substantial enough to offset recall related decline in eye care. Gross profit was $152.2 million and included an estimated $45.2 million in lost sales returns and costs due to the recall. Gross profit in a year ago quarter included $4.5 million in inventory provisions and other manufacturing and distribution charges related to discontinued products. The third quarter gross margin was 55.7% compared to 63.1% in the year ago quarter. R&D rose 30% to $21 million or about 7.7% of sales compared to 6.2% of sales in the year ago period. The increase in absolute dollars was due to primarily to the additions of WaveFront Sciences and IntraLase. SG&A expenses was $137.9 million including $5.1 million in transaction-related charges. We also estimate the recall impacted SG&A by $2.3 million on a net basis. Note also that the third quarter 2000 SG&A included $17.4 million in non-cash amortization associated with the acquisition compared to $9.9 million in the year ago quarter. We reported GAAP operating loss of $6.7 million which included the charges and costs I've just outlined. This compares to operating income of $154.2 million in the year ago quarter which included $102.9 million net gain associated with a legal settlement... a settlement of legal matters. Consistent with our prior estimates we expect that multipurpose recall and re-launch to result in about $150 million to $160 million reduction in operating income in 2007. We have incurred approximately $120 million of this to date with the majority of the remaining impact related to lost sales. Non-operating expenses were $24.5 million and included $2.4 million unrealized loss on derivative instruments. This compares to a non-operating expense of $12 million in the year ago period. The increase reflects primarily higher interest expense associated with the InterLase acquisition. Moving down the P&L we reported a tax benefit in the quarter of $5.3 million. The recall continues to impact lower tax force... foreign jurisdictions which resulted in a reduced tax benefit for the quarter. We expect the recall to adversely affect our future liability and effective tax rate and continue to forecast our effective tax rate in the high 30's for 2008, trending down to the low 30's by 2010. Trade receivables rose from $232 million at year end to $240 million reflecting the addition of InterLase. Days sales outstanding declined to 80 days versus 87 days at year end, and inventories increased from year-end levels of 256... excuse me, $156 million. Days on hand stood at 117 days, up from a 111 days at year end primarily due to the recall and re-launch. Working capital, excluding cash, was approximately $165 million at the end of the quarter, down from $226 million at the end of 2006. The decline was due to the recall and acquisition accruals. In the third quarter, depreciation and amortization rose to $70.8 million reflecting the IntraLase transaction. Our capital expenditures were approximately $15 million in the quarter, and we expect 2007 capital standing to be in the range of $50 million to $55 million moving a range of $55 million to $65 million in 2008. Cash flow from operations was approximately $31.7 million. Total debt at the end of the quarter was approximately $1.6 billion reflecting the financing we put in place to complete the IntraLase transaction and the recall impact. Earlier this month, we entered into an amendment to our credit agreement, which adjusted the ratio of debt to EBITDA required a certain quarterly determination dates during the term of the agreement. It also provides that certain charges related to the recall be added back to EBITDA for the purpose of calculating compliance with the covenants. As a result, AMO paid an amendment fee to the consenting revolver banks of approximately 25 basis points. As we have preciously indicated, we do not expect any significant change in our total debt level until the second half of 2008. Let me also touch on the proposed rule, APB 14A, accounting for convertible debt instruments that may be settled in cash upon conversion. Current thinking is that this will be effective in 2008. Approximately $850 million of AMO's total debt is convertible securities and we are working with outside auditors to evaluate the proposed rule. It will be dilutive to AMO's adjusted earnings per share and once the final rule is published we will provide an update to our guidance. However, this will be a non-cash impact and will be called out separately just as we do with other non-cash items such as deal amortization and stock option expensing. To reiterate our guidance for 2007, we expect sales in the range of $1.050 billion and $1.070 billion, and an adjusted loss per share in the range of $0.95 to $1.15. This guidance takes into account the impacts of the recall. In 2008 we expect sales to be $1.230 billion to $1.250 billion and adjusted earnings per share between the $1.55 and $1.75. Our 2008 guidance assumes adjusted operating margin at or above 20%. Remember our guidance excludes the impact of transaction-related costs and write-off... charges in write-offs associated with the reorganization and recapitalization as well unrealized gains and losses on derivative instruments and other one-time charges. Guidance includes non-cash items including approximately $70 million of annualized intangible amortization and approximately $20 million in stock-based compensation. With that, I'll pass the call back to Jim.
James V. Mazzo: Thanks Randy. Before turning the call to your questions, let me sum up by saying that we are fully focused on the four strategic priorities that will most influence AMO's success moving forward. One, strengthening our lead in the global elective refractive procedure market with our dual platform laser vision correction and refractive IOL offering; two, enhancing our competitive edge in the cataract market to support our refractive leadership and grow share with products like Tears, 1-Piece and WhiteStar Signature system. Three, restoring the health of our eye care business with the successful relaunch of COMPLETE, and four, capitalizing on the strength of new product pipeline which includes innovations across all businesses from dry eye to next generation aspheric IOLs. And now operator we will be happy to take some questions. Question And Answer
Operator: : [Operator Instructions]. And your first audio question comes from the line of Chris Cooley with FTN Midwest Securities.
Chris Cooley: Thanks. Good morning. Can you heart me okay?
James V. Mazzo: Yes Chris.
Chris Cooley: Nice quarter.
James V. Mazzo: Thank you.
Chris Cooley: Nice to see the leverage in the top line start to accelerate. I have two questions this morning. One, if I look to the P&L the one kind of area that jumps out is the core cataract business. Can you talk a little bit Jim about what you can do to reaccelerate growth there on the IOL front primarily looks like in the Asian marketplace and also in the States until you get a dispersive launched? And in secondly, when I look through on the consumer business and most notably the multipurpose, you've done a great job there in getting back in the hunt quickly. Talk to us little bit about the next-gen products and potential timing there what if any kind of changes the regulatory front we may see or may not see in '08? Thank you.
James V. Mazzo: All right, thanks Chris. Let's look at the cataract business, I think there's couple of positives and one area that we need to improve. If you look at the intraocular lens particularly from a monofocal standpoint, you can see that we rose about... we rose 7.6% which is obviously higher than the overall market. I think the thing here as you articulated is we now can expand our strategy. Remember going back about 18 months when we really had to kind of get out of some of our older product lines, lower technological and lower margin, we quickly adopted and upgraded our existing base to the Tecnis line. So we've basically been able to 'positively' cannibalize our older product lines through our Tecnis. But we've been at somewhat of a disadvantage in several marketplaces because the 1-Piece is the large segment especially here in the Untied States I have discussed. Now having a 1-Piece but with clear superiority of 1-Piece technologies have issues like PCO and edge glare. Now having a 1-Piece that allows us to be extremely competitive will now take us from really upgrading our existing base to moving to gaining share. Looking out so at the other part of the business, it's moving quite well. As obviously you have seen since especially... where we were out of the spin, our phacoemulsification system clearly articulates the strength there with WhiteStar and now with the Signature and we'll be continuing to upgrade. I think one of our strengths has been upgrading that machine and you are going to see even some new additions to that Signature system over the next 6 to 12 months. And then of course that pact business with that strong high single digits, meaning that our established base is performing. So the existing WhiteStar systems are being utilized. And so now we can even upgrade and gain more share. I think the disappointment there is still in the viscoelastic product line, and that's really hampering some of the OUS business. Healon was a large product in Japan, and with the reimbursement challenges that we have continued to face out there, with viscoelastics being more a commodity business outside the United States. That's put some challenge and what you are seeing is that we are all having to kind of bundle this into our packaging. The good news about that is we have outside the United States, we have both the dispersive and cohesive. So it's been able to penetrate and grow our IOL offering. What we lack here in the United States is that dispersive. So it's kind of a long answer but very strategic answer to your cataract. If you look at the eye care, Randy jump in here. I think that our goal is obviously to first off, build off of COMPLETE. And I think the one thing that I am really pleased about is the outstanding job of getting back on the market but I think there has been misnomers about what is this product. I think you clearly could see with reports out there with Andrasko study and then the evaporation that this product has unbelievable merits in its disinfection capability. And by having the support of the practitioners on the rub-and-rinse we clearly were able to articulate a message and you've already seen market share gains in the United States without any detailing efforts for the doctor's office. But of course this category is going to be... continue to be built on new products. I think the FDA is continuing to look at the standards. It's going to need to bring new contact lens care products. We're obviously staying very close to that, and I think the earliest we would project anything come out of our pipeline, would you agree Randy would be about 2009?
Richard A. Meier: Yes I think that's pretty consistent I mean. Chris, answer your question. Today to reiterate Jim we are completely focussed on re-launching MPS globally and we are still rolling it out in a few countries over in Asia Pacific and recapturing market share and in the U.S. we'll be quickly shifting over to the launch of our dry eye product in the first quarter of next year. So I think we have got a full plate right now. Longer-term we'll be looking at our upgrade strategy, but again I think given where the FDA is, in terms of what they are looking at for approvals it's probably will be not sooner than 2009 timeframe.
Chris Cooley: Thank you.
James V. Mazzo: Thank you.
Operator: : Your next question comes from the line of Larry Biegelsen with Wachovia.
Larry Biegelsen: Hi thanks and good morning. First question is on the guidance for 2007. If I look at the midpoint for sales for 4Q... if I bake into the 4Q number it's about 274, using the midpoint of your full year guidance which is about $12 million below consensus and sequentially flat with this quarter up a $1 million. Is there... was there something unusual about this quarter? Or what can you say about the fourth quarter, why you know it would be that way? And then just one on R&D spending in the quarter. Is this the run rate we should expect going forward? In your guidance I think last quarter you gave for R&D was about 6.5% for full year R&D spending. Does that still stand? Thanks.
Richard A. Meier: Okay.On the R&D side again as you have been indicated as we move through the integration of the IntraLase and WaveFront Sciences we'll continue to be putting the two teams together. So we will be down in sort of the mid 6% range moving into 2008. So that should be consistent. So again we are still under process of consolidating the R&D operations from some of the acquisitions we did earlier this year. But that's fairly consistent with the guidance that we gave. In terms of hitting 2007 revenue guidance we are very comfortable with where we are today. As you know couple of our businesses do have some seasonality to them in the fourth quarter, and we have historically had a stronger fourth quarter revenue platform. So again we are still very comfortable where we're going to end up the year and moving into next year. So I think that's as much as we can say in terms of our revenue.
James V. Mazzo: Yes if there is anything in the businesses that would stop what we've been doing I think as Randy says you've got Q4, you tend to have the holiday period of time and for cataract procedures. But I will tell you there is nothing to a grand degree that it isn't going to continue the performance that we have seen over the last several quarters.
Larry Biegelsen: Thank you.
Operator: : Your next question comes from the line of Joanne Wuensch with BMO Capital Markets.
Joanne Wuensch: Good morning. Can you talk about how you plan on marketing your dry eye product and what kind of revenue ramp we can be looking for through 2008?
James V. Mazzo: Well I'll... let me... again dry eye is a very interesting category something I am very familiar with. I think that the power of this product line is that it will be marketed across all three businesses run by the eye care franchise. Meaning that we will have our optometric sales force sell this product line to the optometric and optician community across the globe... or I am sorry primarily in the U.S. and then later in Europe. In our cataract sales force which speaks to corneal specialists which are the specialists for dry eye will also market this product. And then of course as you know Joanne the LASIK surgeons even with the IntraLase technology reducing the overall effective dry eye you still get some post LASIK dry eye symptoms. So all three will market this product. I think that the point about this product though it has to have clear differentiation from what's available out there. You either to have a Tear that's too viscous and people really can't utilize how the function after installing the tear or some of the tears are too thin and they tend to drain out and you have to have repeat usage. Our unique formulation will allow us to really enhance the negatives of both of those and then really supplant some of the products that are on the market today. In addition, strong synergistic effects with product like Restasis where they tend to be used in the morning and evening and you need something in the middle. One other point about this is, what we love about this category is this is a very high brand loyal product line that once the patient stays on it, they stick to it. From a revenue basis we are looking at about, about 8 --
Richard A. Meier: No we haven't really given too much guidance in terms of where we are in terms of dry eye last year. Obviously the original launch we were... have given guidance that... we expected just to get a place all over. I think we have suggested given the size of the market that getting a couple of percentage points in terms of market share in the first year would be our targeted objective.
James V. Mazzo: Right, about $4 million to $500 million market.
Joanne Wuensch: Okay, and then I apologize if you said this. What are you thinking about the laser vision correction procedures this year? And again going into next year, do you think though how do you think they'll track?
James V. Mazzo: Well again if you are talking about the market Joanne which I am assuming you are.
Joanne Wuensch: Yes.
James V. Mazzo: We project this year the market to continue to be flat. I think there was a little slight upturn in Q3, and then our projection for the next year, we are still looking and meeting with the individual practitioners, as well as the change. And I would assume that the market probably is going to maintain [ph] just to be up a small amount. We'd rather be modest in that expectation and then any uptake obviously is to our benefit. But again let's make sure everybody on the call clearly understands as the evidence over the last three quarters, we have far exceeded the marketplace, and we will continue to do well, because of our penetration into the independents, chains as well as strong combination of femtosecond. So it's not just femtosecond laser it's about excimer procedures. And then of course outside the United States it's really a combination of procedure growth and custom mix. And with our custom mix going from about 10% to 20% which still affords us a tremendous amount of opportunity as well as procedures in the markets, we market doing extremely well growing strong double digits. We are in good shape from that end. Okay.
Joanne Wuensch: Thank you.
James V. Mazzo: You're welcome.
Operator: Your next question comes from the line of Marc Goodman with Credit Suisse.
Marc Goodman: Couple of things. One is on the contact lens solutions. Are we done with the returns such that in the fourth quarter we should actually see whatever the sales are going to be? Second question is, can you just talk about the U.S. refractive IOLs and just the dynamic there and what's happening and also in the international side? And then third is, you mentioned the LASIK Monovision can you talk about how the trials are going for the presby-LASIK the real exciting opportunity? Thanks.
Richard A. Meier: Hi Marc this Randy. With regard to your first question on the contact lens solutions. We believe that we have addressed the returns issue this quarter, so I wouldn't anticipate there to be really any impact related to returns on a going forward basis. So I guess your question do you think you've got a good picture of where revenue is MPS? I think that will be a good picture. I would caution everyone to say as excited in... and I think is positive as it's been to get back in market quickly, where positive nature of the uptake we are seeing, some of the retailers and reordering. I just want to reiterate we think it will well into first quarter where we get some real solid data relating to market share, and where we are. So although we are very positive about the results we expect in the fourth quarter I just want to make sure that we'll still be building share for some time to come.
James V. Mazzo: Marc let me take number two and three questions. The second question is on the refractive IOL market and you clearly are thinking that it's the right way to look at it. There is a U.S. and OUS and I'll start with the U.S. first. We believe our overall share on the global basis is still about in the 20% range. We've grown faster right now in the OUS than we are in the U.S. I think what's happened in the U.S. is that the surgeon adoption is slowing a bit, and you've seen mix shift with the Ionics gaining some share in the overall refractive IOL market which has had some impact quite candidly on our mix and match availability. The other thing that we interest... we've seen interesting is that individual private practitioners where we've gained some of our strength in laser vision correction has turned some of their practice back into a LASIK practice, and hasn't turned it over to individual refractive IOL practice as much as we talk. Now the good news for us is as we've said earlier our goal is to grow refractive procedures. So if they want to do a LASIK and set over refractive IOLs and that's fine with as long as it's our procedure. So I think you've seen individual doctors and if you look at MarketScope you saw that actually individual practitioners share of the LASIK market increase over the last couple of quarters. Now the other positive point though as I think about the U.S. market is that new technologies and new adaptations to existing product lines will help. And that's why I am glad the competition is actual continuing to invest because the positive about that is it's encouraging doctors to it try the refractive IOL offering. Now outside the United States we have gone... we've grown extremely well. And I think that speaks to the positiveness of Tecnis Multifocal. As I have always said it's still is the best athlete. It provides the best visual, outcomes. It minimizes some of the negatives that you hear about the multifocal IOLs. And of course then we don't have to give away half of our offering because, our offering of ReZoom and Tecnis Multifocal. And so that's why we are doing everything possible in R&D to bring Tecnis Multifocal to the United States. If you want ... and then if you look at the presbyopic hyperopic opportunity with our LASIK I think that the point is, what we are doing is, as we are working with practitioners in Europe because it's not a question of when, it's more of a question of what. Meaning the bigger the opportunity to improve the refractive there, such... for the primarily what I see is the hyperopic presbyopic the bigger the marketplace. So we are quite comfortable that we are going to have correction and positive correction. The question is what's the degree. If we get one and a half to two that opens up a marketplace, if you get two to two and half it opens up a bigger marketplace and an obviously three plus is a bigger marketplace. So that's what we are testing right now in the trials in Europe, with some of our key practitioners, and then looking forward to bringing that into the United States.
Marc Goodman: Is this the type of thing where 12 months from now you think you will have real good idea of how good a product it's going to be?
James V. Mazzo: I think what... the answer is we'll definitely have a better understanding. And again I think as you said it's the opportunity, it's not it, it's just the size. So I think by the end of next year, we will have had about a year under our... little over a year under our belt. And the answer is we will have much more data to be able to predict the size of this opportunity. The nice thing about this Marc is when it does come to the U.S. market assuming on the positive that it has a real diopter change even at somewhat of a minimal diopter change, little less than two or two, this is another added incentive for doctors to advertise, the term presbyopia. That's why I talked about this monovision. When you can advertise presbyopia and if you go back to the history of LASIK any time there's a new indication doctors advertise you get a bump up in people coming into the office. So you know I think the perfect market is we get the presbyopia claim and it has a large diopter change. If it's someone in the middle it still gives us a presbyopic claim. And I think we're the only ones that I know about that are this far advance in trials and have the capabilities to be able to address that market. Okay Operator next question?
Operator: : And your next question comes from the line of Jared Holt [ph] with Bear Stearns.
Unidentified Analyst: : Good morning, thank you.
James V. Mazzo: You are welcome.
Unidentified Analyst: : Jim just I am little bit confused on your comments on the U.S. refractive IOL market. Just given the fact that we have seen pretty good results now out of Alcon and Ionics in terms of sequential growth and deceleration in your business. Can you just talk about what's going on with AMO specifically maybe the upcoming meeting will give you good opportunity to make more of an impact there? And then just on the LASIK business your recent agreement with Zeiss in terms of the licensing fees for their procedure on your femtosecond. Any plans to go after any of these other companies, as there are a couple of other players in this market? Thanks.
Richard A. Meier: Well let's talk about... again I haven't had a change to see but I think what we've probably seen from our competitors is that Crystal Lens as I said has done a very good job and I think it speaks to the point that practitioners have been willing to accept the little less and range of vision in exchange for the less halo and glare in the United States. Outside the United States that's non existence, because it's just the difference in the marketplace. So I think that that's what's helped that. And as that surgeon that we were hoping that was going to adopt now, like the surgeon that has adopted earlier, we have got a strong penetration and continue to grow with the surgeons that adopted it early. Now I think what our other competitors probably have been able to do is enhance some of the shares they have lost because of some additions that they had to the product line. I think that's trial basis, and we will need to see if it's sustainable. But I think the key here is, that's what's Tecnis Multifocal provides. It's clear that we have that capability and that's why you see in the outside of United States. I think practitioners are trialing new products and that's always good because it keeps them involved in the marketplace. So for us, we are still penetrating... we are still growing with the guys that we wanted. We are just not growing with the guys that are little slower to adopt to some of this technology. Now with regards to the Zeiss, yes we license that again. We own the real estate and again we will continue to own the real estate and that's the key number one. But if anybody makes a decision to take another femtosecond laser, well will... from Zeiss we will take advantage of that opportunity from a royalty standpoint. I don't comment on what we are doing with other competitors. But again, the key point here is that's not a strategy. That's just the nice... little nice to have. The key here is we have been able to buy real estate. You have a clear superiority with the IntraLase femtosecond laser. So though... that's where we are focusing all of our efforts.
Unidentified Analyst: Okay great, and then just one question for Randy. Looks like the mostly the debt doesn't come due or payable until 10-15 years from now. Any chance you push back the debt pay-down a little bit to get reinvestment in the rest of the business. Thanks a lot. I really appreciate it.
Richard A. Meier: I think given our capital structure right now, we do have a bank borrowing both still have a little under the revolver and we still have the term loan. So there is... an amortization schedule accompanying with both, but on the balance of the debt, certainly maturities are well out into the future with a lot of the convertible debt. But as we have indicated in the past we think de-leveraging and certainly addressing not only the revolver but clearly the term loan is something we'd been doing in the near term just to get our total debt to capitalization down to a level of, where we're more comfortable with. Again we feel very comfortable with going to next year that cash flow and the availability of free cash flow should go up significantly and allow us to start fairly significant de-leveraging in the second half of next year.
James V. Mazzo: Next question operator?
Operator: And your next question comes from the line of Lawrence Keusch with Goldman Sachs.
Lawrence Keusch: Hi good morning guys. Jim I was hoping that you might talk a little bit about the laser vision correction business which obviously continues to be very strong business for you. If you look to next year, and assuming that the U.S. economy is weaker than it is currently. I suppose that you are going to continue focus on the OUS for the, for growth. And I just was thinking about what sort of resources will you continue to push outside of the U.S to build that business?
James V. Mazzo: Well I am still quite pleased about the U.S. and we are continuing to make tremendous inroads in the U.S. and clearly been able to demonstrate growing market share in our relatively flat market. So let me address to the U.S. and let me address the economy, and then we will talk about OUS which again I am very pleased about. I think as you said it correctly this is three quarters in a row now where we have clearly outpaced what most people expected in our laser vision correction franchise, and that's tied to the technology. And even last quarter people had concerns about the economy. In discussions with individual practitioners as well as discussions with chains, people will pay for a procedure like LASIK because of the opportunities. The key will be what they expect, what doctors and chains will do in their marketing budgets? What we... what I have seen and what you will see further is that I know many of the chains are... have doubled their marketing expense which increased awareness and decreased its sphere. And then at the same time you've seen a greater share also with the individual practitioners as they are focusing their efforts on making sure that they market directly to that consumer. So yeah are we... that's why I think we are being probably a little conservative on believing that the market will be fairly flat. Again also positive for us in the U.S. if the market stays flat next year, is to move the custom. Again as we move the custom, we get a higher per procedure fee, its better outcomes, and we get both the IntraLase and femtosecond... IntraLase as well as the customer procedures, and we are going to do as I talked to you about as you will see in the academy some direct to consumer marketing through the practitioners that will kind of enhance our ability to penetrate in the U.S. So I kind of want to make sure I don't throw the U.S. under the bus because even in times of this year when people have thought the economy was going to be issue, we have far outpaced the market so stay conservative with the market being flat, anything uptake is a positive to us and we'll continue to growth. Outside the United States from a resource standpoint we've employed the resources that was what I think was the positiveness of the integration of our InraLase. There is not going to be needed resources beyond the typical ones you grow... as you grow with the market. But the key there is custom convergence because as I said it was about 10% when we started our initiative. Now it's about 20% and that's a real positive. Of course IntraLase femtosecond laser procedure growth, so I don't need more resources, we just need to convert the machines out there to custom capable. There is a lot of machines out there as I mentioned, and what our primary efforts were in international was to convince people that custom was the way to go and that's what we have done. And then of course you have strong emphasis like Optical Express which just continues to steamroll through the OUS market, and we are obviously the number one for both excimer and femto. So it's not an issue of resources, it's an issue of ensuring the people to upgrade to custom.
Lawrence Keusch: Okay, that's helpful. And then just a couple of other very quick ones. Again I understand that presbyopia indication, the custom monovision will be helpful on again continuing to push custom mix. But in the just a standard myopia, is it beginning to flatten out a little bit? It looked... didn't look that it was up too much this quarter versus last that's question one. And then question two just thinking longer term strategically, clearly you guys are doing a good job in getting the MPS back on to the market. But you know ultimately that's really not a growth business at the end of the day, and it does ultimately once you get back to whatever your share will be, you will then start to map some of the growth in your other businesses that are growing faster. So I just wanted to again probe you on, how strategic an asset is this to you over the long term not in the near term, but over the long term? And then lastly for Randy I just wondered if you had an after-tax EPS impact of the derivatives losses there just so we can think about that.
Richard A. Meier: Let me, let me address. I think what you are trying to say is that the custom mix, which was I think around 64%... as the mix is slowing down. I think you have to be careful here because, candidly it is not slowing down, what's happening is the mix of our business meaning we, chains still do standard like one of the leading chains, LCA. So our mix within that business has actually increased, so it's not that custom is slowing down, it's just the mix within the quarter, of several of the chains that we still do some standard business with. So you understand that point Larry.
Lawrence Keusch: Yes I do. That's really helpful.
Richard A. Meier: Yes, so that's not slowing down at all. If you took out a chain like that, our custom mix is much higher.
Lawrence Keusch: Okay.
Richard A. Meier: If you look at... the answer to your question about the contact lens care, again the most unfortunate thing about the recall is it just masked overall the eye care strategy. Again look at the influencer. The influencer in our overall refractive choice continues to be the MD associated with strong a optometric drive. The optometrist plays a very important role in helping drive not only obviously lenses and lens care but they can help drive LASIK and intraocular lenses. I think to an earlier point, can't remember who asked me the question, the OD plays a very important role. But equally important is the patient in this marketplace. As I've said in the past the patient who wears contact lenses is more apt to have LASIK than a patient who doesn't wear contact lenses. So if we can get those patients and understand those patients and get their information we can help drive the LASIK custom and femtosecond LASIK opportunity. In addition, as I mentioned dry eye, the optometrist you see about 4 times the amount of patients in a typical day than an opthmologist. And that patient does have dry eyes so that helps as well. And then just strictly looking at it from a financial prospective, the eye care business has a strong financial underpinning in this organization for the amount of money you have to invest interest this business and the returns is fairly low. And so I love that business from that standpoint because it helps. You then look at outside the United States where the market is growing and our position is much higher because of the... where we were coming out of the spin. That continues to do extremely well. So I think it's a complement of all those today and in the future. And I think we probably wouldn't be asked this question if we didn't have the recall. So let's get the recall behind. Let's put the product back out there and I think when you see the returns from that, we'll all be pleased.
Lawrence Keusch: Yes make sense.
Richard A. Meier: Just from a tax perspective on a derivative given where we are with our consolidated tax perspective you really can't come up with a tax impact based on what our expected or current tax rate is. Given it that is a U.S. launch the impact would be on the segment of U.S. is 35% tax rate but that doesn't mean anything in terms of our overall consolidated tax rate. So as I am sure you know you do consolidating income statements with regard to taxes and you come up with just an overall rate as projected for the year. So but the answer to your question is 35% tax rate in the U.S.
Lawrence Keusch: Got you. Okay. Thanks very much.
James V. Mazzo: Next question operator.
Operator: : Your next question comes from the line of Peter Bye with Jefferies & Company.
Peter Bye: Thanks guys. Just a follow-up question on the vision care. I might have missed it but I'd say through the end of the quarter sort of what percentage had you re-launched into your customer base, either In the U.S. and/or globally?
Richard A. Meier: Peter as we indicated it in our remarks we've re-launched to about 95% of our pre-recall customer base here in the United States. Outside the United States it's... given the number of markets we are in, Europe right now we're probably about 90% to a little higher than that. Asia Pacific as we indicated we are still getting back in a couple of markets by the end of the year, we'll be at a 100% level and in Japan we are at a 100% level.
Peter Bye: That was through the end of the quarter?
Richard A. Meier: At the end of the quarter we were probably in the U.S. a little below to 95%, end of the quarter we were probably close to about 85% because as you know there was a couple of customers that we have that we didn't start shipping to until the first week of October.
Peter Bye: Right, and just on the other part of your vision care business, ex-MPS COMPLETE, just over the year, have you had trouble modeling it. They have bounced around a tremendous amount, at lot of times up a tremendous amount, other quarters down a tremendous amount. Can you just help us looking forward or what happened in this quarter on that front vis-à-vis Q2 and both in... hydrogen peroxide and the others?
Richard A. Meier: I assume you are just saying excluding the entire MPS, or you just want to know what the... where we are with peroxide and then our other revenue.
Peter Bye: Yes, just why it bounces around as much as it does I guess, or is there anything different in Q3? What happened in Q2 or you know?
Richard A. Meier: I think with the peroxide that's been fairly consistent over the period. I think from Q2 to Q3 I think you did have a bit of the impact of the recall affecting all of our other businesses just in terms of shipping to customers, some of our customers during that period just was ordering less. And that when they order less, that affects the entire portfolio.
Peter Bye: Okay.
Richard A. Meier: So there has been some volatility with that but as you know over the last 5 or 6 quarters going back to the last year, we rationalized the variety of products a lot of which was in the other category. We have continued to expand our blink portfolio and rewetters. So we have seen some significant rise and as that's entered new markets you have seen some obviously some volatility in that segment. And then clearly with some of the neutralization tablets that's a bit of a choppy market in the way the ordering patterns are in the other. So from a peroxide perspective, I guess, near term it's just been some of the fall out from the recall but that's relatively speaking been a pretty consistent, in terms of decline. And again we think that will slow in the coming quarters in terms of the year-over-year decline. And then the other businesses with the addition of our Tears next year as you should get a lot more stability between just our Tears business next year and our rewetters business again as the other products become a smaller and smaller potion of the portfolio.
Peter Bye: All right thanks. And then I guess with accounting change coming up on the convert, assuming obviously it's going to be looking a lot more just sort of cash earnings on that front. Is there any particular reason why cash earnings and free cash flow aren't going to be similar minus the CapEx?
Richard A. Meier: I think as you move into 2008 you are going to see a lot more similarity between the two. So over the... in the future as we move forward you will see a lot more consistency between those two numbers.
Peter Bye: Great, and then just one follow. We just noticed in the Bausch filing about the spike in legal expenses related to their recall. Is there anything comments you care to make or can make regarding the outlook for legal expenses in '08 '09 and beyond related to your recall?
Richard A. Meier: No, we are fairly comfortable. We haven't seen the number of people filing suit I guess. So we think it's still extremely manageable and we are very comfortable with the level of liability insurance we have on this. So we don't think that there is going to be significant cost associated just on a going forward basis. But again we can keep people updated on a quarterly basis but today we are fairly comfortable with what the outlook is for that.
Peter Bye: All right. Great, thanks guys.
James V. Mazzo: Thank you. Next caller or question operator?
Operator: : And your next question comes from the line of Mark Mullikin with Piper Jaffray.
Mark J. Mullikin: Good morning. How confident are you in getting FDA approval of the dry eye product in time for an early '08 launch?
James V. Mazzo: You kind of broke out there but I am going to make... did you ask me how confident are we on the getting approval for our dry dye product?
Mark J. Mullikin: Yes that's correct.
James V. Mazzo: Done deal, it's already... again remember the reason that is late is not because we don't have approval as we postponed it because of the manufacturing. We are ready to go and launch at the beginning of the next year. It's more from a manufacturing standpoint not from an approval standpoint.
Richard A. Meier: We postponed it because of recall.
James V. Mazzo: I am sorry recall.
Mark J. Mullikin: Okay, thank you.
Richard A. Meier: We already have MDC numbers, [multiple speakers] with every MDC numbers. So we are ready to go in the spring or excuse me, in first quarter.
Mark J. Mullikin: Okay, great. And then it looks like your laser vision correction business in Japan is ramping pretty quickly. First of all is that correct? And if so is that due to the IntraLase acquisition or is something else going on?
James V. Mazzo: The answer is yes, it's correct. And it's a combination of both, with very similar to what happened. And then you are right on in that. The IntraLase actually has helped our excimer business. IntraLase has done, has been well accepted into that, and we have been able to also place more excimer units. So it's been a win-win for both of us. So you are right Japan is doing extremely well. We will continue to do extremely well and what I like about Japan is, it's a very fast moving market, and very high prices and we have the established base.
Mark J. Mullikin: Thank you.
James V. Mazzo: Next question operator.
Operator: Your next question comes from the line of Steve Willoughby with Cleveland Research.
Steve Willoughby: Hi good morning. Quick question on the multifocal IOLs. Given your earlier comments, just wondering, what you thought of your previous guidance of $60 million in revenue this year and then for the product going into 2008, relative to your revenue guidance?
Richard A. Meier: I think what we... it's obviously we believe that it will be lower probably going to be somewhere in the mid-50s range. But again we are not changing guidance because again unlike other things in the past we have been able to manage the situation with strong performance in other areas especially outside the United States with refractive IOLs. We haven't given any, and candidly the way to look at it for us is procedures because as I said earlier, what we have noticed is some of our independent practitioners have shifted the way and done more LASIK with us than refractive IOL practices. So for us to look at it we look at total procedures. Again if I can get a person on a custom, IntraLase I win, if I can get him on ReZoom in the United States, we win and if we can get him on a Tecnis Multifocal, and I will tell you outside the United states, though we continue to see very strong growth as evidenced by our numbers.
Steve Willoughby: That makes sense. And then just my other question was on the Healon B approval. You said some time in 2008, any idea if that's early, late.
James V. Mazzo: Mid to latter part of '08.
Steve Willoughby: Okay. Thank you.
Operator: And your next question comes from the line of Louise Chen with Morgan Stanley.
Louise Chen: Hi, a few questions. First off with respect to LCA Vision I know you are in potential discussions with them about the femtosecond laser. Can you give an update on that? And then secondly just on the MPS solution, sort of a next generation solution, what kind of discussions have you had with the FDA and how are they thinking about changing their guidelines for MPS solutions going forward?
James V. Mazzo: Well let me talk about the LCA. As you know over the past six months LCA has been conducting clinical testing, and I think somewhere between 8 and 12 with their outlets determining the IntraLase technology. It is our understanding that the... it is nearly complete, and we believe based on the compelling benefits of the technology we are quite comfortable on a favorable result. But we will leave that up to the LCA team to advise you as we go forward. If you look at the... from an FDA standpoint on lens care, obviously I think all of us in the industry are working. We are obviously spending time with the FDA as we go through our different product lines as well as our eye care product lines. I can't, couldn't begin to tell you, I'll think anybody could begin to tell you what their new guidelines or if there are any going to be any guidelines. Again if you look at it... if the main issue is acanthamoeba, no one bottle today does kill acanthamoeba and we doubt very much one does. Now of course if you rub-and-rinse you have a greater chance of reducing the implications of acanthamoeba. So I think it depends on what's the standards of the bugs that they want to have on the indication and from there, then what are standards going to be required for a one bottle. I don't think there is going to be any change to peroxide but on the one bottle systems Louise I think it's going to be primarily what organisms are they going to look for to have completely disinfective from that end. Okay.
Louise Chen: Thank you.
James V. Mazzo: Operator we have time one more question.
Operator: Yes and your last question comes from the line of Andrew Swanson with Citi.
Andrew Swanson: Thanks very much. If we look back may be year and half you had a 25% plus operating margin target out there and obviously the business is going through some evolutions in intervening time. But is that still a long term target that makes sense for your business as today and any evidence that you can give us that you are making significant progress toward that target? I know you talked about 20% target for next year but is the cost base at a point where this could ultimately be a 25 plus percent operating margin business? Thanks.
James V. Mazzo: I think Andrew we have talked about that and that's obviously always a goal as we can continue. If you take away some of the... if you take away the recall you could see what we've been able to do in the other businesses. We've had now four consecutive quarters of tremendous growth in that area. Put the eye care business back into there and based on the operating margins if that can provide obviously our goals are to get in the 20% plus range, so very realistic as we move forward. So I think that the product line we have with the mix of the type of product line if you go 18 months ago to your point think about the mix of the businesses we had. We had an older technological IOL line. We had no femtosecond laser. Our LASIK was primarily U.S. not OUS. no custom and we didn't have some of the innovative intraocular lenses that we go forward with. So putting the eye care recall to the line those are in place now, and then as Randy said we'll relaunch it and will get... and the answer is we'll get right to those operating margins. Yes, so the answer is yes. Long term. All right operator, I want to thank everybody again. As Sheree talked about we have a meeting at the academy hopefully you can attend you'll see a lot of some of the new technologies that we've talked about today and always a good audience with around the sectors that we compete with. So I look forward and I thank very much for your time today.
Operator: Thank you. This concludes today's AMO's third quarter 2007 earnings conference call. You may now disconnect.